Operator: Good day everyone and welcome to the Xinyuan Real Estate Company Limited Third Quarter 2014 Earnings Conference Call. Please note that today’s call is being recorded. Now I would like to turn the conference over to Mr. Bill Zima of ICR. Please go ahead sir.
William Zima: Hello everyone, and welcome to Xinyuan’s third quarter 2014 earnings conference call. The company’s third quarter earnings results were released earlier today and are available on the company’s IR Web site, as well as on Newswire services. Before we continue please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such our results would be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in our registration statement and our Form 20-F and other documents filed with the U.S. Securities and Exchange Commission. Xinyuan does not assume any obligation to update any forward-looking statements, except as required under applicable law. Today you will hear from Mr. Yong Zhang, the company’s Chairman, who will comment on our operating results and provide some perspectives on the property market environment. He will be followed by Dr. Manbo He, company’s Chief Financial Officer, who will provide some additional color on Xinyuan’s performance, review the Company’s financial results and discuss the financial outlook. Following management’s prepared remarks we’ll open the call up to questions. During the Q&A session, Mr. Zhang will speak in Mandarin, and his comments will be translated in English by Ms. Helen Zhang the company’s Financial Controller. Now with that said I would now like to turn the call over to Xinyuan’s Chairman, Mr. Zhang. Please go ahead.
Yong Zhang: Thank you Bill. Good morning and thank you all for joining our third quarter 2014 earnings conference call. China’s real estate market remained challenging across the country in the third quarter as there remained less home purchase activity by consumers. This results in lower revenue and contract sales than we anticipated last quarter. However, we managed to meet our net income guidance and achieve sequential profit growth as operating expenses were lower. During the third quarter, we had 14 projects that were active and available for sale and we acquired one land parcel in Xi’an City, locate in Shaanxi Province. In the U.S. our New York Oosten project are on track. Around 20% of our all units are under contract as of end of October. At the end of the third quarter, the government passed some important policies to improve China’s housing market. This includes allowing a broader range of home buyers access to lower down payments and easing mortgage credit. We believe such initiatives are good they could help stabilize the real estate market and increase home purchasing activity over time. In the fourth quarter we will maintained strict cost controls and be highly selective with our land bank expansion activity. We have five new projects scheduled to launch in the fourth quarter that are positioned for growth as market conditions improve. Now please allow me turn call over to our CFO, Dr. Manbo He.
Manbo He: Thank you, Mr. Chairman. Hello, everyone. Welcome to join our call today. I will give us a brief review about our key financials for the third quarter. The third quarter net income was within the guidance range. The result was US$7.8 million, a 14.7% increase from $6.8 million in the second quarter and a significant decrease from the same quarter last year. Contract sales in the quarter totaled US$167.7 million, a 15.6% decrease from our second quarter and a 31% decrease from the same quarter last year. Our third quarter total revenues were US$163 million. That is a 1.9% decrease from the second quarter and a 32% decrease from the same quarter last year. The revenue decrease was much less than contract sales decrease mainly due to the percentage of completion improvement with our projects. The company’s GFA sales were 100,000 square meters in the third quarter. The second quarter of the same year is 149,000 square meters. The number for last year, the same quarter is 151,000 square meters. The average selling price per square meter sold was at RMB10,000 or US$1,600 equivalent, compared with RMB8,155 for the second quarter and RMB9,976 for the same quarter last year. The average selling price increase was mainly due to product mix and we didn’t increase any price of our projects per se. Our project in Zhengzhou area contributed 42% of the total GFA sales followed by our project in Jinan which contributed 38%. The property market performed relatively better in Zhengzhou and Jinan compared to the broad property market which is in-line with the situation for the whole country. Let’s now get to gross profit, the gross profit for the third quarter was $43.5 million or 26.6% of revenue, which is similar to last quarter, that was $43.3 million or 25.9% of revenue compared with the same quarter last year the gross profit was much higher of $78.5 million or 32% of revenue. The increase in gross margin compared to the last quarter was mainly due to certain contract sales in three Zhengzhou projects, which we have been able to recognize it in the same quarter since we have the government approved for granted property right certificate which positively affected our revenue in the range of around [$70 million] and with impact on our gross margin as well. For the SG&A expenses for the third quarter it was RMB32.1 million, compared to RMB35.6 million for the second quarter and it’s higher than the RMB23 million figure for the same quarter of last year. As a percentage of total revenue the SG&A expenses were 19.6%, slightly lower than the 21.4% in the second quarter and significantly higher than the 9.6% in the same quarter last year. For this year the SG&A decrease was mainly due to the reversal of our US$4 million incentive program which we recognized in second quarter and prior to file the incentive claim that we see the company set advance condition of three year service for the company so the total incentive program of $7.2 million will be amortized in three years rather than two quarters that’s the reason for the reversal. And the next item is the taxation, in the third quarter of 2014 the company reduced its unrecognized tax benefit liability related to the Zhengzhou Modern City project, the $8.7 million due to the expiration of the three year statute of limitations period. Let me explain a little bit further on that. Based on the levy method applied by the Zhengzhou local tax authority before 2011, the company’s Zhengzhou modern city project located in Zhengzhou was paying corporate income tax on the deemed profit method. Under the deemed profit method, taxable income is deemed to be 15% of cash receipts regardless of actual income generated in 2010. The company believed that it was more likely than not that the PRC national tax authorities would require Zhengzhou modern city project to pay corporate income tax based on the statutory taxable income method instead of the deemed profit method. Based on that the company recorded the difference between the corporate income taxes due based on the statutory taxable income method and the corporate income taxes based on the deemed profit method accounting amounting to US$8.7 million as tax liability since 2010. Now the three year statute of limitation according to the PRC tax administration and tax collection law has already expired in 2014. So the company reduced its unrecognized tax benefit liability related to the Zhengzhou modern city project by this US$8.7 million accordingly. Our net income was US$7.8 million, which is a 14.7% increase from US$6.8 million in the second quarter and a 72.8% decrease from US$28.7 million reported in the third quarter last year. The net income figure however is the number that within the range of our guidance we give out in the second quarter. As of September the 30, 2014, the company reported US$553 million in cash and cash equivalents including restricted cash compared to US$680 million as of June 30. Total debt outstanding was US$1.39 billion, an increase of US$80 million compared to $1.31 billion at the end of the second quarter. The balance of the company’s real estate property under development at the end of the third quarter was US$1.5 billion compared to 1.54 billion at the end of the second quarter of 2014. Our asset [inaudible] ratio increased slightly from 67% to 69%. The net gearing ratio is around 89% which comparatively is less than our peers. The average net gearing ratio for Asia tier two developer is around 150% and for tier one developers is around 70%. For similar size developers listed on the Hong Kong Stock Exchange we have an average net gearing ratio of 112%, so those are all higher than our gearing ratio. Earlier today we reported that we entered into a note redemption agreement with TPG Asia to which Xinyuan had agreed to redeem in full on December the 1, 2014 its 5% senior secured convertible notes due 2018 of an aggregate principal amount of US$75.8 million issued on September the 19, 2013. The note contain a financial covenant requiring us to maintain a fixed charge coverage ratio as defined in the note of not less than 3 to 1 as determined on the last day of each fiscal quarter of each fiscal year. In addition the note also contains a limitation, an indebtedness covenant limiting our and our subsidiaries abilities to incur indebtedness which covenant is tighter than the similar covenant contained in our other indebtedness including our US$200 million senior notes due 2018 and another one with same amount due 2019. [Technical Difficulty]. … will pay in cash in the month equal to the principle of the note plus all accrued and unpaid interest up to and including the redemption date, plus an amount equal to the principal multiplied by 13% and all this should total around US$86 million. Xinyuan has available cash to fund the redemption. However it also will consider options to finance the redemption. After this redemption Xinyuan will have no other outstanding convertible note. It’s important to point out that TPG remains a strategic investor of Xinyuan, with 7.6% ownership of our outstanding shares and will continue to maintain its seat on our Board. Next, let’s move on with our operational update. As reported on our last conference call we acquired a parcel of land with GFA 361,700 square meters in late July in the Daxing New District of Xi’an city. This parcel also of the total side area of approximately 85,118 square meters. The price paid was RMB579.6 million or approximately US$93.8 million, which was the initial public auction price. Xi’an is the large city in North West China with a population over 8 million. The Daxing New District is the new important international trade base which is part of China’s 11th 5 year plan in West region. As I mentioned last quarter we will continue to focus on existing cities in which we operate targeting higher margin project for our future development, particularly in Zhengzhou and Jinan. Overall we will continue to expand our land bank in 2014 for future development and plan to pay RMB7 billion to RMB8 billion or equivalent to US$1.1 to US$1.3 billion for land acquisitions this year. As of September 30, we have paid RMB4.3 billion for land cost and deposit. Our land acquisition plans for the rest of the year is more related to negotiated land parcels. By that we’re trying to pay the lowest price possible. Looking at our developing activity in the U.S., our New York Oosten development project remains on track. We expect to [top] out entire civil structure in early 2015 the first quarter schedule. Pre-sales activity for this project is active. As of October 31, approximately 20% of all units are under contract, with revenue expected to be recognized in 2016 which is the requirement of the council you can only recognize the revenue after delivery in that state. Next, let’s move on to share buyback. The company remains confident about our future prospects and the repurchased approximately 630,000 ADS in the market at a total cost of around US$2.3 million in the third quarter when the prices still at the low level. The challenges and chances we are facing – for the company we need to acquire more profitable project. We focus on existing cities and we’re aiming to raise the criteria of land acquisition and the yardstick for the requirement of ROI will be above 15% and also we are trying our best to expand the financing channels to lower the overall financing cost. Our current cost of financing the credit we pay anywhere between 5.8% to 9.1% on construction loans and the rate for [tranche] loans ranging from 10% to 12.5%. So the overall average cost of financing for the company at the moment is around 10.6%. Last, let’s move to the focus. The Chairman has already pointed out that the property market in China right now is still very challenging across the country. It’s hard for us to do the projection in the fourth quarter under these circumstances. However, I am trying to give some guidance so that the investors can have a better understanding of our operations moving forward. Given the uncertainties in the market as well as the timing of pre-sales project activity for our five projects scheduled for the fourth quarter the direction of the business is still on track. And for the fourth quarter we expect our contract sales to reach approximately US$500 million to US$510 million. And on the revenue side we expect in the range of US$300 million to US$310 million. And for the net income our projection is to reach the range of US$7 to US$9 million and that is the forecast for the fourth quarter. And for the full year we expect our contract sales to reach US$1.138 billion to US$1.148 billion. And the full year revenue is expected to total US$856 million to US$866 million. While the full year net income is projected at US$31 million to US$33 million. I have to address again that these projections are subject to change given the market environment as well as the timing of pre-sales for our new projects scheduled for the fourth quarter. As we are very closely monitoring the market, we will make sure our investors be updated as we are going forward. So for now this concludes our prepared remarks for today. Operator we are now ready to take questions.
Operator: Thank you. (Operator Instructions). And we will take our first question from Mike Ronzio with Morgan Stanley.
Michael Ronzio – Morgan Stanley: Hi, thanks for the call. Just two questions for me. One revolves around forward-looking pre-sales color. Could you give us some color on how your contracted sales were in October versus the third quarter in this year? And then also, can you give us an idea of looking at the four projects that you intend to launch presales on in the fourth quarter of this year, can you give us some color if those presales have actually been launched in what the demand is shaping up to be? And then secondly, it looks like on your balance sheet from a long-term debt perspective you have over US$400 million over and above your two U.S. dollar offshore bonds. Could you just comment on the type of debt that $400 million consists of and its relative cost? Thanks.
Manbo He: Okay, for the sales question, actually as our Chairman has pointed out due to the market condition Chinese government has initiated some [rejuvenation] activities at the end of September and early October as will, including activities on easing the mortgage and so the purchasing restrictions. And the result on the market actually shown up pretty good result for the national holidays for most of the company and that’s a same thing for Xinyuan as well. So the October results we had a good national holiday sales and then the rest of the month we are still facing some challenges, because the macro environment especially for the policies decided by Central Government has been not been detailed by the local banks. So the positive news on easing up of the mortgage is not showing up on the actual purchases side and many of the customers in the market is still having the mode of wait and see what’s going to happen, so that affected the latter part of the sales on October. However, looking into the rest of the year we still have reasons to believe that we will be able to maintain strong sales for the coming two months and the company as I explained is trying our best in promoting the sales in many different ways, including installment payment on both down payment and the whole payment of our project and that had some good response from the market and also we are reaching out to some financial institutions to help our customers in increasing their ability in the down payment and their whole payment on the purchase of our product. And those activities so far we have had some very positive response and which did help our sales. That’s also the reason we still have a strong forecast for the rest of the year. In terms of the debt that’s on our balance sheet, at the moment all those debt are spread into different projects and as we said we have construction loan which bear a lower interest rate and we have also the trust loan which we have higher interest rates and the overall interest rates on our loans are around 10.6%, that’s the asset [inaudible].
Michael Ronzio – Morgan Stanley: Okay. So, just one quick one with regards to presales for the fourth quarter given that we’re almost halfway to the fourth quarter now. Can you comment on which projects have been launched for presales so far this quarter?
Manbo He: For the fourth quarter actually we will have four projects launched in December. So we haven’t started yet and we have our Sanya project will be launched in November. Yeah, so in total we have four projects launched in the fourth quarter and the total amount of projected sales for that will be around, let me do a quick calculation, around RMB600 million.
Michael Ronzio – Morgan Stanley: Okay, thanks very much.
Operator: (Operator Instructions). We’ll go next to [John Sheehy], a private individual.
Unidentified Analyst: Hello, everyone. Thank you for taking my call. I’d like to ask your balance sheet currently shows about US$1.6 billion of property under development. How long do you estimate it will take to sell all this property and receive the full proceeds in cash?
Manbo He: Thank you, John for the question. Actually for real estate development in China we are continually investing in the land bank and our project is also an ongoing process. So at the moment Xinyuan is still stick to its strategy of fast turnaround so which means we are developing a much fast pace and we are trying to tackle the opportunities that are arising from the market as fast as we can. For the land banks we have and also for the units we are holding at the moment the period for our project to be completed, meaning from the starting to finish the average time on it is anywhere between 18 to 24 months.
Unidentified Analyst: So within about two or three years all of the current projects will be completed and you will have the cash available to invest in new projects for general corporate purposes is that the right way to look at it?
Manbo He: In a way you can say that. However as I explained before we are always in the ongoing process so along the way when we are selling our products at the same time we are spending on acquiring land for the future development and future selling. So it’s always a revolving process.
Unidentified Analyst: Okay, thank you. Then I would also appreciate it if you could look at your current projects in China. Can you pick one project that has been doing the best and explain why that has been doing well? And then pick one project that has been weaker than forecast and explain why that has been a little bit disappointing and what steps you are taking to make best of that situation?
Manbo He: Okay. That is actually a very good question John. Actually we currently have 14 projects on sale for 2014 and out of that 14 projects I would say over 80% are relatively doing quite well comparatively and among that as I mentioned before our projects in Zhengzhou in Jinan did very well and also from the industry Jinan, Zhengzhou and Hefei are the three cities in China that are the best in this industry and for that actually Xinyuan has been positioned itself quite well. We have some good projects in those cities. In terms of the project that’s doing not as well as we would expect one example is the project in Chengdu. The reason for that is because at the time when we acquired the land the timing was when the land price was relatively high and because of the market pressure in those specific areas the purchasing power in that area actually decreased faster than other areas. So that’s why the whole industry in that area is under tremendous pressure. And as far as the company’s strategy in dealing with the situation, right now we are actually adjust the pace in development. For instance for the project in Chengdu we are trying to slowing down the pace in hope that the market will pick-up and also by slowing down the pace of development we are reducing the expenses of those projects that are not making good contribution to the company at the moment. And on the opposite side for the future land acquisition the company is more focused on tier one cities, like Beijing, Shanghai and Shenzhen which we believe have a stronger performance than the rest of the country. And also we are focused on the areas whereby the company used to have a very strong performance and relatively our team and our suppliers and all other elements in the business are much stronger than the other places like Zhengzhou, like Jinan and those are the things the company is doing in dealing with the current situation.
Unidentified Analyst: Thank you very much for all that detail. If I could ask one more question, could you a little bit about the diversification of your business plan about whether you intent to move into some commercial, industrial and senior housing developments.
Manbo He: Well the whole industry is under tremendous pressure and almost all the developers are considering getting ahead into the segment of markets. Xinyuan is no exception. However as most of the veterans in the industry have agreed that so far the residential business is still the better performed sector in the industry and while we are trying our best in tackling the opportunity of this biggest industry consolidation we are spending some time and resources in developing some other type of business, for instance the senior living housing business we are in close talk with some of the partners including some very famous brand names in senior living house operation business in the states. And also we are looking into the possibilities of getting our property management business into a bigger contribution to the whole business as a company and things like that. But again the focus for the company at the moment is still trying our best to get into the tier one group so that we can maintain a healthy growth once we reach that stage. The consensus in the industry is that after this consolidation only those strong companies will survive. So that’s the reason we are trying our best to get to that group to make sure that Xinyuan’s business will go on for a long term.
Unidentified Analyst: Thank you very much for all of the detailed answers.
Manbo He: Okay. Thank you.
Operator: (Operator Instructions). We’ll go next to Liang Hsu with Keane Capital.
Liang Hsu – Keane Capital: Hi, Manbo, I am just wondering can you work out the rationale behind the early redemption on TPGs note. And what is that 13% of the principal pertaining to and how should we look at this early redemption, how should we look at that benefiting on the existing shareholders. Thank you.
Manbo He: Okay. Thank you Liang for the question. I have to admit that this is a rather difficult question. However as we explained in our press release the early redemption for TPG convertible notes was mainly due to the restrictions of those covenants on the ability of financing for the company. As I just explained for a company at the size of Xinyuan it is critical to grow to certain level of operation so that we will be able to survive over the long term. In doing that we do need a strong financial support to grow our business substantially, while the restrictions, the covenants from TPGs convertible notes have put a tremendous pressure on the company in terms of financing for our growth. So after careful consideration and intense negotiation between the company and TPG, the company decided to do an early redemption of the CB so that it will give the company more room to breathe in terms of expand our financing capability. So that’s the rationale behind this early redemption. Keep in mind that although we have redeemed this CB with TPG, TPG remains our strategic inventor and at this moment they are still the second largest shareholder of Xinyuan. They hold over 7% of our share. So we are still getting a very strong propose from them in terms of the directions where about the business is going.
Liang Hsu – Keane Capital: So is that is already factored in your fourth quarter’s net income guidance?
Manbo He: Yes.
Liang Hsu – Keane Capital: Got it and have you ever said that like on a pro forma basis without that 15% of early redemption what the net earnings going to look like?
Manbo He: Well, I explained to you the difference between the inclusion of this and the exclusion of these, you can fairly quickly check out what we paid on top on the principal is somewhere about $10 million so that’s the difference it will make on the fourth quarter earnings.
Liang Hsu – Keane Capital: Got it. Thank you.
 Manbo He: Thank you, Liang Hsu.
Liang Hsu – Keane Capital: Thanks.
Operator: And Ladies gentlemen with no other question in queue I would like to offer everyone final opportunity. (Operator Instructions). We will go next to [Peter Chen], a private individual.
Unidentified Analyst: Hi, I want to know is after the spend and penalty for the early [inaudible] the fourth quarter earnings will be negative or still positive?
Manbo He: Well, as I just mentioned our focus for the fourth quarter we will still have positive net income.
Unidentified Analyst: Okay, and I want to ask about dividend because I didn’t listen to the early part of conference and the dividend policy still continue for the next quarter?
Manbo He: Yes, the short answer to that is yes, because the dividend policy is actually pushing us and is an annual policy so those have been decided in the beginning of this year and we will continue through the full year.
Unidentified Analyst: Okay and how about the share structure you will continue and because I found is only 0.63 million purchased. In fact you will have a lot of cash on hand and I assume you should buy more, much more shares if the current extremely low price?
Manbo He: Yes, I think as I explained at the call from the last quarter the share buyback strategy is an ongoing strategy for the company and as you pointed out since the price of our stock is relatively low that is very, very attractive option for the company and we will continually monitor the situation and trying to use whatever means that in the benefit of the company’s overall interest which is also the best interest for all our shareholders and we will continue to do that.
Unidentified Analyst: Yeah, I suggest that you to the much, much strong and structures, so and after you buy more so you can fund other strategic factor and client older shares price go up, and they is much better than the current….
Manbo He: Yes, that’s a very good advice and thank you very much for that. We will continue that and take all the possibilities into consideration.
Unidentified Analyst: That is much better than the current.
Manbo He: Yeah, that’s a very good advice. And thank you very much for that. We will consider that and take all of the possibilities being to consideration.
Unidentified Analyst: Thank you very much.
Manbo He: Okay, thanks Peter.
Operator: We will go next to [Brett Mayo], another private individual.
Unidentified Analyst: Yes, sir. Thank you Dr. Manbo.
Manbo He: Hi.
Unidentified Analyst: My question was – somebody asked about the diversification of business plan and I thought you gave a good answer to it. But I wondered specifically if you guys ever considered working with the Government kind of like China HGS Real Estate to engage in the large scale shanty area rebuilding projects or if that was on your radar or even a possibility?
Manbo He: Yeah, actually the answer to that is yes. And also it’s a solid yes, because right now we are in very close negotiation and discussion with you know with some government in that respect. As you point out that is a very important sector of business and we are paying very close attention to that. However I do not have anything in versus detail to tell you but as I mentioned, once we get more information and once we get closer to the closure of those project we will report it to the investors. And in addition I would like to add that in addition to the initiatives in different elements of the industry we are also trying to open up to different kind of cooperation so, that we can grow the business but at the same time reduce pressure on financing liability. Basically, we are seeking more business cooperation in the equity side so, that the company will have a better change to grab some largest scale project without having to putting to tremendous pressure on our financials. So that’s also part of the initiative the company is trying to do to stay on track with its strategy but also try our best in reducing the impact on our resources under such, – I shouldn’t say bad, under such big pressure from the market.
Unidentified Analyst: Right, right. Yeah, I have noticed that.
Manbo He: So we are trying to do whatever we can so that we can make our investors happier.
Unidentified Analyst: Correct, yeah, and it is appreciated. I know that you – another just a quick follow-up, you projected net income for this coming year $7 million to $9 million or I mean this coming quarter. Is there any outlook for next year at this point or is it just to up in the air?
Manbo He: Well, as you can all appreciate that it’s already very difficult for the company to give up the accurate forecast for the rest of the year due to the dynamic changes in the market. It will be, I should say at the moment it really is close to impossible to give you a very meaningful forecast for 2015. However as I said before we will try our best and try out best to update the market, to update investors whenever we have information that is enough for us to provide more accurate update to the markets.
Unidentified Analyst: Absolutely, I appreciate that. And I guess the one last question, you guys I assume still have the corporate jet and that’s coming in as expense, will that ever be considered as net income keeps coming down, are you contractually obligated to keep that with the – or how does that work basically, I am very – I don’t know much about those contracts?
Manbo He: Well I think I agree with you that I think the management and the company is as conscious as investors in terms of the corporate jet related to the contribution to our business. So far the company is trying our best in using that aircraft to the extent possible to benefit our business. For instance we use that primarily in the development of our new project. In looking for the site and checking out the different areas that we might be able to grab some opportunity. So this is somehow a pressure on our expenses side and the company is monitoring the situation very, very carefully and closely and we are also discussing the possibilities of any ways to ease up the pressure on the expenses for that aircraft and again we are evaluating different options at the moment and we will report to you guys once we are closer to any decision about what we’re going to do with it.
Unidentified Analyst: Well, I would just say that sounds great and I’m glad that we’re inline and to you personally Dr. Manbo great job on the conference call. You’ve been – this has been my favorite conference call. I have been listening in for quite a few quarters and I feel like very important …
Manbo He: Thank you very much.
Unidentified Analyst: No, thank you very much.
Manbo He: Thanks.
Operator: We’ll take our next question from [inaudible].
Unidentified Analyst: Hi, I apologize if my question has been asked. I joined the conference call pretty late. My question is regarding the TPG transaction who initiated the agreement, is it TPG that wanted out or the company wanted out? And secondly what is TPG’s holding of the company after the transaction and what are you sources of funding after that? Thank you.
Manbo He: Okay, actually it’s a very good question but I think the better person to ask your question is someone from TPG. However I will try my best to answer that question. In terms of who – which side initiated this transaction, it’s like any other business deal. It’s very difficult to say who made the first move. It’s always in the context of business discussion when something had been brought up on both sides regarding to the discussions and the notion is to reduce the pressure on the company, as I explained before that because of the restrictions, because of all those covenant it makes it very difficult for the company to expand its finance activities and at this morning as I emphasized over and over again it is very important for Xinyuan to expand its financing resources, so that we can stick to our strategy in growing into the Tier 1 group company, so that we can survive for longer-term. So in that regard both side agreed that it is a good idea for us to redeem that convertible note so that we will have more room to help our company grow to the next level. In terms of the funding for that redemption while we do have cash on hand to pay for that we are trying to manage the situation so that the overall cost of financing for the CB redemption and other requirements will be at its minimum. So that’s what the company is doing right now. Hope that answers your question?
Unidentified Analyst: Thank you and one question [inaudible] are they holding anything and what is [Technical Difficulty].
Manbo He: Are they holding anything, what do you mean are they holding anything?
Unidentified Analyst: I remember [inaudible] that you had on [inaudible], 75 million.
Manbo He: No, are you asking is TPG still the shareholders I have explained that.
Unidentified Analyst: Yes.
Manbo He: After the redemption they are still the second largest shareholders of Xinyuan. So that doesn’t change.
Unidentified Analyst: Okay and what is...?
Manbo He: They remain our strategic partners. Yeah.
Unidentified Analyst: What is their holding size and are they still have board seat?
Manbo He: Yeah, they are still the second largest shareholder of Xinyuan and they hold 7.6% of our outstanding share and they still have one seat on our Board.
Unidentified Analyst: Okay, thank you very much. Thank you.
Manbo He: Yeah, thank you.
Operator: That will conclude our question-and-answer session. I’ll turn the call now back to management of the company.
Manbo He: Thanks to everyone for joining us for today’s call and the company remains confident that the management is doing the best we can to uphold the interest of all our shareholders and investors and we will keep our investors posted on any further development on the business and you are also very welcome to checking our website or get in touch with our outside IR firm as well as our IR department for any further questions. So if there are no more questions we will conclude this conference call.